Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Koppers business update in Q1 2020 preliminary results. [Operator Instructions] Please note that the event is being recorded. 
 Now I'll turn the call over to Quynh McGuire. Please go ahead. 
Quynh McGuire: Thanks, and good morning. I'm Quynh McGuire, Vice President of Investor Relations. Welcome to our conference call where we will provide a business update in light of the COVID-19 environment as well as highlight our Q1 2020 preliminary results. 
 We issued our preliminary first quarter 2020 results earlier today. You may access this announcement via our website at www.koppers.com. As indicated in our preliminary earnings release, we've also posted materials to the Investor Relations page of our website that will be referenced in today's call. Consistent with our practice in prior quarterly conference calls, this is being broadcast live on our website, and a recording of this call will be available on our website for replay through May 29, 2020. 
 Before we get started, I would like to direct your attention to our forward-looking disclosure statement. Certain comments made on this conference call may be characterized as forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of assumptions, risks and uncertainties including risks described in the cautionary statement included in our press release and in the company's filings with the Securities and Exchange Commission. 
 In light of the significant uncertainties inherent in the forward-looking statements included in the company's comments, you should not regard the inclusion of such information as a representation that its objectives, plans and projected results will be achieved. The company's actual results, performance or achievements may differ materially from those expressed in or implied by such forward-looking statements. The company assumes no obligation to update any forward-looking statements made during this call. References may also be made today to certain non-GAAP financial measures. The company has provided with its press release, which is available on our website, reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. 
 Joining me for our call today are Leroy Ball, President and CEO of Koppers; and Mike Zugay, Chief Financial Officer. I will now turn the call over to Leroy. 
Leroy M. Ball: Thank you, Quynh. Welcome, everyone, to a call that will be different than our usual format due to the course of events related to the COVID-19 situation. Let me start by saying that I hope all of you and your families are healthy and doing as well as can be expected under these extraordinary circumstances. Also, I'd like to take a moment to offer our thanks to frontline health care professionals, first responders, food service workers, delivery service employees and drivers and everyone who is so selflessly and tirelessly giving so much to keep our society moving under circumstances none of us could have imagined only a few short weeks ago. That includes our employees, most of which continue to clock in and report to a work site every day playing their role in helping our customers continue their important work. 
 I'll begin this call with talking about Koppers' mission-critical role as an essential business, and then I'll discuss our key priorities that help to guide us in all the decisions as we manage through this unique situation. The term essential and everything it implies has become the basis for our current state and provides the foundation for our ongoing operational presence in a post-COVID world, as shown on Slide 4. 
 According to guidelines set forth by U.S. Cybersecurity and Infrastructure Security Agency, or CISA, an agency of the Department of Homeland Security, Koppers is authorized to continue operations under the guidance of the essential critical infrastructure workforce issued on March 19, 2020. CISA's transportation and critical manufacturing categories are both applicable to Koppers as the work performed by our employees is essential to maintain the nation's railroad utility infrastructure, which supports public health, safety and security. In addition, the Association of American Railroads issued guidance on March 16 related to our customers' essential role in providing critical infrastructure protection and resilience as endorsed by DHS, FEMA and other federal agencies. CISA guidance also makes the operations of our supply network, trucking companies and third-party terminal operations necessary to maintain the supply chain of these critical sectors. 
 We are proud to do our part to keep rail transportation running safely to deliver critical shipments of food and other supplies. Our products also keep homes and businesses powered to provide light, heat and digital connectivity. And we serve construction markets with products to maintain critical infrastructure. We often talk with the investment community about the fact that the products and services we provide being critical to the markets we serve. And that, in many cases, we are one of a few that can provide them. Truly unfortunate that we have had to endure a global pandemic to prove those claims. But the major point I want to make sure everyone takes away from today is that what we produce is indeed essential to our world. 
 Now as we navigate through this unprecedented period, it's important to focus and align our business with these key priorities. First and foremost, protecting the health and safety of employees, customers and supply chain partners; providing critical products and ongoing support to our essential customer base; maintaining adequate liquidity and financial flexibility; providing frequent and accurate communication to key stakeholders; and finally, advancing key initiatives in order to emerge stronger from the crisis. 
 But looking beyond COVID-19 and over the long term, our industry-leading position, end markets served and proven business strategy will continue to position Koppers for success. Our company's purpose of protecting what matters and preserving the future is more meaningful now than ever. By protecting our employees, responsibly managing our operations and aligning our cost structure in support of our business priorities, we'll be well prepared to emerge even stronger. 
 As stated in our press release, we have withdrawn our previously communicated 2020 financial guidance due to the evolving nature of the pandemic and uncertainty about its scope, duration and impact. It is difficult to reasonably and accurately forecast our results. Given that we're in a time of elevated uncertainty, communication becomes even more important to inform decision-making. As such, we plan to provide publicly available monthly business updates until we are comfortable that events surrounding us have begun to normalize. I realize this is unusual, unprecedented times call for unprecedented measures. This change in communication frequency is not to be considered permanent, but I hope this level of greater transparency into how we are functioning during a changing business environment provides current and prospective shareholders better, more timely information for their decision-making process. 
 For now, let's move on to Slides 5 through 7 to review how Koppers has responded to this crisis so far and our long-range plans regarding the COVID-19 situation. Even before the full extent of the pandemic became apparent, we formed a real-time crisis communications team to develop plans and take specific actions to protect our people, operate our facilities safely and reliably and ensure ongoing service to customers. We issued guidelines based on CDC recommendations and our own Zero Harm principles regarding hygiene, social distancing, limiting access, disinfection, face masks and working from home. Our self-imposed health and safety guidelines will remain in place, and we will monitor the situation closely as various regions begin to consider relaxing certain guidelines. 
 Our information technology team continues to safeguard our network against crisis-related stresses, coordinate connections with employees working remotely and troubleshoot as needed. By utilizing technology wherever possible, we've been able to stay connected and proactively manage our business. Our communications strategy includes the new One Koppers dedicated employee app for smartphones to receive and share immediate news and updates from employees worldwide. I communicate with our employees by sending written updates on a weekly basis at minimum as well as regularly distributed video messages, which are also posted on our Koppers Facebook page as well as our corporate website. As one might expect, my interaction with our Board of Directors has also ramped up with weekly written updates and ad hoc verbal updates to discuss status and contingency plans. 
 We also have been in heavy communication with our customers, suppliers, regulatory authorities and industry associations, coordinating our response to various governmental orders to ensure supply chains remain essential and to identify any issues that need to be resolved to help us operate as efficiently as possible during this time. 
 Continuing to Slides 8 through 10 to provide a high-level perspective on our employees and their health and well-being. To date, around 6% of our employees around the world have either been tested or has self-quarantined. Only one employee has tested positive, and that individual is now recovered and cleared to return to work. The virus for that one employee was contracted outside of the workplace and had no contact with fellow employees at work. Currently, about 1% of our employees remain in self-quarantine at home. Approximately 1% of our employees have been furloughed or laid off and are still receiving compensation while off work. Roughly 75% of our employees are working on-site with the remaining 25% working from home. Of those able to work from home, about 83% have chosen to do so. 
 We continue to take extreme measures to safeguard our employees while continuing to operate effectively. Anyone exhibiting symptoms of COVID-19 are sent home to self-quarantine and not permitted back to work until they complete a 14-day self-quarantine or produce test results that show them clear of the virus. Those who show symptoms or who have been exposed to those showing symptoms and are off work are still being paid by Koppers or through applicable government wage replacement programs. 
 In terms of operational continuity, as shown on Slide 11 through 13, staffing and materials planning remains challenging but manageable. We're focused on our key integrated supply chains by monitoring essential businesses, plant staffing and material movements. We've activated plans for sheltering in plants, and implemented CDC safety guidelines at all locations. So far, every Koppers facility remains in operation except one in Auckland, New Zealand, and that facility is slated to come back online April 28, which for those in Auckland is already here. So we're pleased to say that due to the hard work and extensive planning by our people, our customers have not experienced any material shortages. 
 Since most of our raw materials are multisourced, we enjoy an important strategic advantage in this area. Also, we've identified and separated key personnel and related backup team members to ensure coverage at all times. This flexibility, we believe, will become an important component in our plans to balance the safety of our people with operating as cost efficiently as possible. 
 The bigger challenge we now face is how to manage facilities around the world that will each be facing different timing and variations of loosened restrictions. We plan to focus on what we can control, which is within our fence lines, immediate proximity of our field crews in our office environment. As social restrictions begin to lighten, the risk of an employee contracting the virus and bringing it to work will go up. We plan to continue practicing all CDC-prescribed hygiene and social distancing practices while we assess the timing and feasibility of adding testing and contact tracing to our sites so that we can limit those affected whenever an employee inevitably contracts COVID-19. For the safety of our employees and the reliability of our operations, we need to continue limiting close social contact within our facilities and plan to do so.
 Moving on to the business landscape with the backdrop of COVID-19, as shown on Slides 14 through 22, I'd like to discuss each of our businesses at the time we entered into COVID-19 environment, how we think we are currently positioned and how things might look coming out the other side. We've gained a greater appreciation for what a differentiator the diversification of our business model creates in diffusing our risk. During the past 5 years, each of our 3 business segments has had a turn at being the largest generator of EBITDA for Koppers and each also reached an all-time high EBITDA. RUPS in 2015, Performance Chemicals in 2017 and CMC in 2018. As I review each business, I'll start with the businesses that I think will feel the least impact to those that will likely feel the greatest impact.
 At the top of the list for the businesses that we believe will feel the least amount of impact is our Utility and Industrial Products business for UIP. As a whole, utilities need to maintain their infrastructure to avoid interruptions in service and our customers have confirmed that it becomes even more important now that many people are homebound. We continue to see a steady order flow as the industry continues with planned maintenance to support infrastructure reliability. Major projects have been pushed back until later in 2020, but that should only serve to provide demand for a strong back half of this year. Also, with the tornado season just starting, our UIP team has been busy responding to tornado damage since the first deadly cluster emerged on Easter Sunday. Storm response is an area where our team shines, helping communities prepare and respond to the inevitable damage, especially now at a time when the utilities can least afford to deal with days-long outages.
 Our UIP business has seen some pullback in marine piling since much of the work driven by commercial building on the East Coast has slowed or stopped due to government restrictions. We anticipate that the current low interest rate environment and stimulus funding will spark strong construction activity as the various states begin reopening their economies.
 Our next best-positioned business to weather the current situation is Railroad Products and Services where we have many long-term relationships and hold strong market positions with most of the Class I railroads. We've been in daily communication with our customers to understand the changes impacting their business and how we can help them work through their day-to-day challenges. In addition, we've been actively working on a couple of opportunities to add market share that are beginning to get finalized at just the right time. 
 Typically, capital spending for the railroads is in line with revenues generated per track mile. With traffic decreasing, spending may be adjusted accordingly at some point, depending on the railroad. Thus far, crosstie demand has been largely unaffected as our trading volumes have tracked slightly ahead of last year through the first quarter. One of our major customers has indicated plans to reduce capital spending by 10% for the remainder of 2020 but collectively, our remaining Class I customers are keeping with their programs, which are expected to track on or ahead of 2019. 
 On the commercial side of our business, we saw strong demand and healthy comparative pricing reflected in our first quarter numbers as it has been the case now for the past few years. Moving forward, we expect to see some softening in demand as short line railroads assess their cash and capital needs leading to pricing pressure. While maintenance of way has been our Achilles heel over the past 3 quarters, we still anticipate improved sequential performance reflected in our numbers as early as the second quarter of this year.
 Our rail joint business had a strong first quarter and has been the most consistent performer of the 3 maintenance of way businesses, and we expect that to continue. At the end of February, we came online at our Somerville facility taking back used crossties and started to see the benefits of that new business reflected in March results. We expect that to carry through the remainder of the year, along with some other growth opportunities that could also be additive to our numbers. Railroad structures had a robust backlog of business heading into 2019 as well as some emergency projects pop up early last year that contributed to a strong first half of last year. This year, we carried a smaller backlog into the year with several of our projects in more severe weather in Northern States as well as a few in parts of the country harder hit by the coronavirus. These factors created additional complexity, added costs and impacted productivity. As the weather warms up and as restrictions begin to ease, we expect to see improvement in our structures business.
 Our maintenance of way business has consistently added $2 million to $3 million of EBITDA quarterly to our profitability. For a variety of reasons, however, it has not done so for the past 3 quarters, with the March quarter being a low point. We expect meaningful improvement in Q2 before returning to more typical results in the third and fourth quarters of this year.
 On the supply side, while forestry has been deemed essential, new construction are not considered essential in many places. This has impacted sawmillers who have seen a drop in demand, leading some to idle or close shop. Thankfully, we have not experienced a noticeable impact as some mills are continuing to produce poles and crossties to maintain their operations and cash flow. Industry experts are forecasting that the current 6 to 12 month outlook for logs is in the ideal range. We believe the supply chain for untreated wood remains robust and we'll continue to monitor the procurement trend.
 Next is our Performance Chemicals business, or PC. Globally, the first quarter represented our sixth consecutive record quarter in sales. Since the PC business was acquired in August 2014, there was only 1 quarter that was not a new quarterly high for that segment. In the U.S., there's been much chatter about lumber treaters shipping record volumes in Q1 and big box stores reported record or near record highs. With new builds deemed nonessential in certain states, sales of certain products have been curtailed. Our flagship products like MicroPro and CCA are used in repair and remodeling, which have remained strong markets thus far. We likely will see some pullback in volume as discretionary income is affected by rising economic uncertainty and unemployment, but our cost levers can mitigate a good portion of the possible softening.
 The Joint Center for Housing Studies of Harvard University and their latest report commented that they expect quarterly spending for improvements in repairs to turn negative by the third quarter with potential for even more severe declines to follow. Juxtapose those comments against the weekly U.S. lumber report that stated bustling demand from home centers continued to spearhead a brisk pace in Southern Pine treated lumber sales and that some treaters in the southeast increased sales to box stores sharply. That demand from contractor yards picked up moderately, matching many treaters' previrus projections and that some ramped up replenishment purchases in response to indications that many states along the Eastern seaboard have either lifted stay-at-home restrictions or will do so by early May.
 Internationally, many of the industries we serve in the U.K., Spain and France have been negatively affected, while the Nordic region and Portugal remain steady. As countries begin to reopen their economies, we expect to see our business gradually improve. Our PC business in Australia has remained operational, and we've generally experienced a robust market for our products in that region. Australia overall has done a fairly good job of containing the spread of the virus compared with Europe. 
 New Zealand has been in a Level 4 lockdown effective as of March 26, which required closing all but the most essential industries. Our New Zealand business primarily serves the new construction market, not considered essential under Level 4. And as a result, our Auckland facility has been shut down since that time. Earlier this year, our Christchurch facility had ceased preservative production and converted to a distribution facility as part of optimizing our operations footprint. New Zealand is moving to a Level 3 status effective April 28. We have begun restarting our Auckland facility and expected to be online today, where it is already April 28. To put our New Zealand business in perspective, the month that our business was shut down will cost us approximately $0.5 million in EBITDA versus our original expectations.
 Our Central and South American business has been a challenge as certain countries have been under extended lockdowns and treatment plants in those countries are not operating. As a reminder, we do not have any owned operating facilities in Central or South America, but run our production through toll manufacturers so we do not bear the cost of that overhead directly. While volumes have been negatively affected, the biggest impact has come from the significant depreciation of the Brazilian real, which finished the first quarter 22% weaker than year-end 2019, effectively wiping out all of the EBITDA generated from the other portions of that region's business.
 Looking at the supply side of our PC business, we're seeing a benefit of scrap copper prices have dropped significantly, but that benefit is largely muted by the hedges that we have in place for most of our expected 2020 requirements. Scrap yards in certain areas have been closed as nonessential, limiting supply and adding pressure on spot pricing of scrap for those yards still in operation. We have adequate inventories on hand to carry us through the next month or so and do not anticipate a disruption in our supply chain for scrap copper. The drop in copper has provided an opportunity to lock in lower hedge prices for portions of our 2021 and 2022 requirements and we will realize the benefit of that in those outer years. The vast amount of our other raw materials like arsenic trioxide and various biocides are sourced out of China, and we've experienced no disruptions in our supply chain for these materials throughout the global pandemic. We have normal levels of inventory on hand and don't expect any issues based upon our current experience.
 This brings us to our CM&C business, which will experience the most severe impact of the crisis. It has started with the first quarter seeing reduced aluminum demand, lower overall average pricing brought on by lower benchmark pricing out of China and cratering oil prices. The good news is this is not the same CM&C business as 6 years ago when markets were softening and oil fell from $100 to as low as $27. The structural and contractual changes we put into effect should allow us to weather this current storm in much better shape. Despite cutbacks in steel production, reducing the demand for coke, which creates the by-product coal tar that we use to produce our products, we remain in good shape due to the flexibility of our supply chain. Any shortfall in the U.S., our most supply-constrained region, should be backfilled by the more abundant European supply. This is even more true in a low oil environment as carbon black producers resort to their lower cost petroleum feedstock, freeing up more coal tar to the market.
 Low aluminum pricing and low demand related to auto and aerospace production cuts have already impacted first quarter results and will continue. Nonetheless, we are in a good place with many customers at the lower end of the cost curve, which will enable them to outlast competitors during this tougher period. In general, the price of oil impacts the pricing of certain products like carbon black feedstock and phthalic anhydride and to a lesser extent, naphthalene. We felt that most acutely in the 2014 to early 2016 time period when oil dropped through the floor. The same dynamic exists today, except with one big difference. Today, we have a significant portion of our raw material under contract to move in tandem with the direction of our end markets.
 In North America alone, we lost $28 million of adjusted EBITDA in 2015 and '16, partly due to oil, partly due to running 3 underutilized facilities, partly due to an operating footprint that had key parts of our operations segregated at different facilities. That has all changed now. And even with the current challenges, we expect that North America will be a valuable contributor to CM&C results. The most important point to make about the correlation to oil is that with much of our raw material supply synced to oil or our end markets, our raw material costs are typically lagging price by approximately 1 quarter. We bear the negative impact in a falling oil environment, but we get the positive impact as oil prices rise. In 2018, we saw that dynamic clearly as oil was moving up and CM&C posted record results. As costs started to catch up and oil started moving in the other direction in 2019, CM&C results reflected that pullback. We originally expected that trend to continue moderately in 2020 with lower oil and a continuation of cost chasing price. That will now be somewhat intensified in the short-term current environment, impacting both the top line and price and EBITDA and reduced profitability. But once oil stabilizes and begins to move up, we should be recapturing some of that benefit. The key takeaway with CM&C is that even with the doom and gloom around steel, aluminum, auto, aerospace and oil and gas, we believe this business will deliver 2020 EBITDA margins within our stated 9% to 15% range through an economic cycle.
 Now as highlighted on Slide 23 and 24, the available relief program such as the CARES Act and other options will help offset and absorb some of the additional costs incurred in dealing with COVID-19. Programs and benefits include the deferral of employee payroll taxes, which will represent approximately $7 million in 2020 cash savings deferred to 2021; the employee retention credit, which will provide up to a $5,000 per employee payroll tax credit for those affected by the virus; the deferral of defined benefit plan contributions, which offers $3 million in payments that we can defer to the end of this year; interest expense limitation relief, which will represent a cash tax savings of about $1 million in 2020 by amending interest expense limitations to 50%; wage subsidy programs that we're monitoring various government programs in the United States, the U.K., Canada, Australia and New Zealand; and relief for defined contribution plan participants to assist the eligible COVID-19 impacted employees.
 As always, Koppers' employees have stepped up to volunteer, donate and offer support in a variety of ways to help those suffering job loss or in need of face masks and other protective equipment as shown on Slides 25 through 28. We launched a community fund to provide essential household supplies to underserved communities in Pittsburgh, raising more than $50,000 from Pittsburgh-based corporations in the public at large so far. Employees from our Stickney facility near Chicago donated personal protective equipment to an area hospital in dire need while also expanding its support of a local homeless shelter experiencing strains on its services. One employee in our Nyborg, Denmark facility used her technical know-how to procure ingredients and produce hand sanitizer for all of her coworkers. Others Koppers volunteers have sewn homemade masks for their colleagues and for health care workers on the front lines of this battle. Our UIP teams quickly and safely shipped more than 100 loads of replacement utility poles following tornadoes in April, helping to restore power to nearly 4,000 residents. Peer to community involvement has been a hallmark of our employee base for years, and this crisis has brought it to the fore even more impressively. I'm immensely proud to lead the people of Koppers.
 Now before I provide closing comments on actions and opportunities related to mitigating the impact of COVID-19, I want to turn it over to Mike to discuss our debt and liquidity scenarios as well as key highlights on the first quarter of 2020. Mike? 
Michael Zugay: Thanks, Leroy. Looking at Slide 30. At the end of March, we had net debt of $899 million, with $185 million in available liquidity. We were also in compliance with all our debt covenants. Looking at the maturities, we do not have any significant debt maturities until 2024 when our revolver matures and a final balloon payment on our term loan is also due. In 2025, our $500 million in bonds will mature as well.
 In 2020, we plan to reduce debt by a minimum of $120 million, contingent upon the successful closing of the KJCC divestiture, as well as additional sources of cash from working capital reductions, lower cash taxes, lower interest payments, lower than originally projected capital expenditures and deferred payroll taxes, as Leroy mentioned, courtesy of the CARES Act.
 As shown on Slide 31, we evaluated various scenarios to stress our bank covenants, and Koppers expects to be in compliance with our covenants even at a potential 30% reduction in 2020 EBITDA.
 As shown on Slide 32, we also evaluated our liquidity at various levels of EBITDA, and Koppers expects to have ample liquidity, even with a 25% potential EBITDA reduction in 2020. In our press release this morning, we provided preliminary results for the first quarter of 2020, and our financial discussion now is based on these preliminary results. Please also note that beginning in 2020, we are reporting results from the pending divestiture of KJCC as discontinued operations for the current year as well as the comparable prior year.
 Moving on to Slide 34. Revenues were $402 million for the quarter, which was an increase of $25 million or 7% from $377 million in the prior year. Excluding a negative impact from foreign currency translation of $6 million, sales were higher by $31 million or 8%. The increase was due to increased volumes and favorable pricing in our wood preservation businesses partially offset by weaker demand in our CM&C segment.
 On Slide 35, adjusted EBITDA was $38 million or 9% compared with $41 million or 11% in the prior year quarter. RUPS reflected a general favorable demand environment with increased crosstie volumes and favorable pricing in its commercial crosstie business as well as higher volumes of utility poles partially offset by continued weak demand and maintenance of way businesses. PC reported higher sales and profitability, driven by organic growth as well as market share gains in North America and lower raw material costs partially offset by lower demand in Europe. CM&C was negatively affected by softening demand in the global aluminum markets and lower pricing as well as inventory write-downs due to the steep decline in oil prices.
 Now I'd like to discuss several items that are not referenced in our slide presentation. Adjusted net income was $10 million compared with $11 million in the prior year quarter. Adjusted EPS was $0.47 compared with $0.54 for the prior year period. Both adjusted net income and adjusted earnings per share reflected weaker demand for our carbon-related products as well as decreased profitability in our railroad maintenance of way business, partially offset by higher profitability from our PC segments. Through March 2020, cash used by operating activities was $17 million compared to $14 million in the prior year. Capital expenditures were $11 million, also $11 million in the prior year.
 Before I turn the discussion back over to Leroy, I want to mention that we expect to issue our final Q1 earnings press release and also file Form 10-Q on Thursday, May 7. We will not have an earnings conference call on that day given that, as we announced this morning, we will have our next scheduled monthly business update to the investment community on Wednesday, May 20.
 With that, back to you, Leroy. 
Leroy M. Ball: Thanks, Mike. Like every company dealing with a financial fallout, we've identified where we can pull back spending to help offset whatever declines in our end markets we might experience. We have weekly cost meetings led by our Chief Accounting Officer and Treasurer to inform the leadership council on our opportunities and progress regarding cost reduction initiatives, and you can see that reflected on Page 37 -- on Slide 37. 
 In SG&A, we've identified $15 million to $20 million of possible savings using 2019 as a baseline. $3 million of those savings were captured and incorporated in our Q1 numbers. The major buckets relate to compensation and benefits, travel and entertainment, legal fees, consulting expenses and office-related expenses. At the same time, the team is evaluating the opportunities that might exist at the plant level for operating expense, but we're being cautious given that the focus needs to remain on employee safety, environmental responsibility and customer reliability. 
 Finally, as we look forward to how we maintain as much of the foundation of our earnings as possible and come out the other side even stronger, we've continued to advance some very important initiatives even in the challenging work environment we find ourselves in. You can see that reflected on Slide 38. 
 In just about every business we operate, we've been enacting programs that utilize our vertical integration advantages to increase market share. We began realizing the fruits of our labor last year with several of the large PC account wins, and that has led its way into this year where we have added an important customer to the KRR base and have multiple irons in the fire in our RPS and UIP businesses that could become reality in the back half of this year.
 On the new product front, we announced last quarter that we plan to enter the copper naphthenate market as pentachlorophenol begins to sunset for utility pole treatment. While we have continued our work down that path, we have also had many meaningful conversations with customers about our current proven portfolio of creosote and CCA as viable alternatives, and there seems to be an openness to test products and continue the dialogue. Meanwhile, we continue to work on other formulations in order to provide the industry with the best product for their particular needs.
 I know we've talked about network optimization for some time now with only a few moves made to date. The lack of movement is not an indication of the tremendous amount of work that has been done behind the scenes and the conversations that have occurred at the customer level to ensure that whatever changes we make will allow us to continue to provide the same quality products and services that our customer base has become accustomed to. We are getting closer to some changes that I expect will begin to get enacted later this year.
 Before I get into some of the other cash opportunities, I want to make a note that on April 16, the antitrust ruling was filed for the sale of our KJCC facility, which starts the 2-month clock on the approval process for that. So that was the next big milestone that we were waiting to occur that keeps us well on track to look forward to an August closing of the sale of that business.
 And looking at other cash opportunities, we still do have a few other noncore businesses that we would monetize if the price was right. We also have several closed properties and associated assets that we are actively marketing that could bring in additional cash. Finally, this year should represent the completion of the heavier spending on closing facilities that have averaged close to $9 million a year over the past 6 years.
 In closing, I'm confident that we are positioned strongly to not only make it through this current crisis, but to come out the other side in a real position of strength. At this point in time, I'd like to open it up for any questions. 
Operator: [Operator Instructions] First question comes from Mike Harrison, Seaport Global Securities. 
Michael Harrison: Good to hear from you guys. Hope you're all well and appreciate the level of details here. I think it's really good. I wanted to ask about the decremental margins, the way you kind of went through the segments, you kind of ranked them in order of where you're going to see the most impact or least impact to most impact. I took that to mean more of kind of a demand impact or volume impact. But as we think about decremental margins, can you maybe talk about each of the businesses and where you would expect to see the most severe impact from lower demand? Generally, I would think of RUPS and CMC as maybe having higher fixed costs and therefore, higher decremental margins and maybe the fall-through is less severe in PC? But anything you can help to frame that up would be appreciated. 
Leroy M. Ball: Okay. Mike, I'll take a stab at that and then Mike can chime in if I miss anything. Yes, I think certainly, I'll just start by saying UIP actually had one of the strongest quarters for us, both from a sales and profitability standpoint since we've owned the business. And while that's not -- it's not as much of a -- it doesn't have quite as much seasonality as what some of our other businesses do, it still is typically a weaker first and fourth quarters for that business. So for it to have literally one of its strongest quarters in this first quarter, I think, gives me confidence that -- and with what we have seen so far, actually in the early goings of the second quarter, gives me confidence that they will have a pretty solid year and should hold on to actually move their margins up a little bit this year, comparatively speaking. 
 RPS, I'd say we might see a little bit of margin erosion there. But again, from an overall demand standpoint, the fact that we don't think we're going to get clipped so hard in that business. I feel like from an overall margin standpoint, we'll be able to maintain it. It really comes down to and depends upon how much the commercial market softens because if we see significant price deterioration there, then that could weigh on margins a little bit. But in terms of the remainder of that business, there's a number of dynamics that actually are improving for us as the year goes on. So I think they'll hold their own. And now of course, we have the other cost reduction initiatives that will help to backfill any erosion that they get in their base business.
 PC, we are locked in, in terms of our copper pricing for this year, due to the hedges. So we're not getting any immediate real impact from the significant reduction in copper costs. I'd say that if we see volume drop off there, certainly, there is less fixed cost in that business, but we could see some margin erosion there. Again, if we're not able to backfill it with other cost reductions. Clearly, CM&C will be hardest hit from a margin standpoint. But even with that being said, I think that, that 9% to 15% range that we've talked about that we think we can still be at the bottom end of that range, which is a real testament given the environment we're in, in terms of both the supply side and the demand side and the impacts from oil -- lower oil on our pricing. So no question, margin standpoint, they're going to come out of this in the worst shape, but still overall, I think, be within, at least at the bottom end of our overall sort of projected range that we had put out years ago through an economic cycle. So that would be my summary of it. And Mike, I don't know if you have anything to add. 
Michael Zugay: Yes, my -- from my perspective, I mean, the rule of thumb that we have on all these segments holds, I think, through an economic cycle. And of course, we're in an economic cycle now that's on the downward trend. But from a RUPS perspective, we have always stated that we should be in that 9% to 12% range through any economic cycle. Performance Chemicals, 12% to 18%. And as Leroy just reiterated again, Carbon Materials, 9% to 15%. So I don't see anything that over the long term is going to change our view of those businesses through an economic cycle. It's just a matter of in the current environment that we're working under with the pandemic, how can we impact that as positively as we can. 
Michael Harrison: Okay. And maybe just to follow-up on those margin ranges that you provided. I guess, should I think of those as being annual margin numbers such that if Q2 is showing the most pronounced impact from this crisis, maybe we fall through the bottom of those ranges in Q2 and -- but for the full year, we're doing better? 
Leroy M. Ball: I would say, yes. 
Michael Zugay: Yes. The answer to that is yes because those ranges are annual ranges. Yes. And keep in mind, our business is seasonal, our best quarters are historically Q2 and Q3. And the slowest quarters for us are always Q4 and Q1. 
Michael Harrison: Got it. Okay. And then last question for now is just on the Class I railroads, you mentioned that one had announced a 10% pullback in CapEx spending. None of the others have formally announced anything, but is it your view from your conversations with them that others will kind of follow that type of plan and maybe pull back by 10% or so? 
Michael Zugay: That is not our view. Our view is that, that for the most part, we expect them to pretty much maintain the program that they had coming into the year, preparing to bolster their network for some recovery. And so that's where we're at based on the conversations we've had. Now that could change, but that's what we shared. 
Operator: Next question comes from Laurence Alexander of Jefferies. 
Daniel Rizzo: It's actually Dan Rizzo on for Laurence. If we look -- think back to, like, say, the rate after we resumed in the recession of 2008, 2009 right after, is it true, if I recall, 2 things happened. One, the Class I railroads, you actually used that time to replace track because there was -- I mean, there was some opportune times with less traffic. And that could happen again? And number two, when it ended, when recession ended and things started to pick up again, there was a lumber shortage as housing picked up. Am I remembering that correctly? And could that kind of a similar scenario unfold again? 
Leroy M. Ball: You are remembering correctly. That's correct. That was right around the time that I actually joined the company about 10 years ago as things were starting to pull out of that. So could that happen again? Yes, it could happen again. It's tough to -- I mean, there's so many scenarios you can map out of this. And there were lessons learned coming out of the great recession that I'm sure people have adjusted their business continuity plans too as well. So what changes will be made that are different than what -- how people acted coming out of that crisis remains to be seen. But yes, you're remembering correctly, Dan. And I guess, yes, that is possible that, that could occur. 
Daniel Rizzo: Okay. And then a shorter question. Can you just remind us what percentage of what sales of the Class I versus the shorter line railroads? 
Leroy M. Ball: For us, it's about 80% Class I typically is what we do. 
Daniel Rizzo: Okay. And finally, you mentioned the savings you've identified in SG&A, I think was -- I have to look back a few months because I think it was $15 million or something like that. 
Leroy M. Ball: $15 million. $15 million to $20 million. Yes. 
Daniel Rizzo: That encompasses that, I think, the $5 million to $10 million you mentioned last call, right? So this is just -- it's all together now, $15 million to $20 million. Correct? 
Leroy M. Ball: I'm trying to recall. I'm trying to recall. I mean, $15 million --  let's put it this way. I'm not recalling exactly what you're mentioning, but $15 million to $20 million is our projection of the opportunity for the entire year compared to '19. 
Operator: Next question is from Chris Howe, Barrington Research. 
Christopher Howe: My question just if you could perhaps give us some idea of assuming this environment continues on for longer than we expect, just perhaps clarify or add some color more than you already have as far as the different cash preservation levers that are available to the company. And how we should think about this preservation in regards to working capital improvements, controlled spending and more or less kind of what you're seeing as far as maintenance CapEx for the ongoing business this year and into next? 
Leroy M. Ball: Okay. That's a bunch to unpack. So maybe I'll start with CapEx. So our -- I think our original expectation coming in the year was about $60 million to $70 million of CapEx, and we're saying we think we can reduce that by about $10 million in the current environment. We're very wary. So obviously, we're doing everything to be fiscally responsible through this. But at the same time, wanting to make sure that we also don't put ourselves in a tough position by under-investing in areas where we need to continue to upgrade. And so last year, we really pulled back hard on the capital lever really hard. And we spent $37 million overall gross, and that was offset by a $3 million insurance recovery related to a rebuild of our arsenic acid facility in New Zealand. And I'll just say, over 33 operating facilities, that's nothing, especially when you're running chemical businesses. 
 So the number this year was put up to a number that we felt like while it had a few productivity projects in it, we felt that number overall was something that was more in line with what a normal run rate would be for our facilities on a go-forward basis. So we don't have a lot of discretion to pull back more than the $10 million right now that we're thinking we can do just to make sure that we're maintaining a reliable infrastructure. So I'd say that's where we stand on the capital front overall.
 In terms of opportunities on the controllable spending side, I'd say we have a -- again, an infrastructure here that we're trying to maintain from a people and services standpoint. And we're trying to maintain that as we go through this so that we can be in a position to come out the other side stronger. This is a prolonged downturn and is deeper and longer than what we're projecting. At some point in time, I -- there is a -- certainly, a people aspect of this that we -- is a lever we could look to pull. There's not a tremendous amount of opportunity there, to be honest with you. We're not exactly a fat organization when it comes to people. So the opportunities there are not large, but there are some opportunities if we were pushed to that point. I'm trying to... 
Michael Zugay: One of the other things, Chris, that we could -- or are in the process of actually doing is an inventory reduction program. We ended the year -- our balance sheet at the end of December had inventories. Our worldwide inventory's at roughly $300 million. And we put a plan in place prior to this coronavirus pandemic that's hitting everybody at the moment to reduce that through the year 2020 by $50 million. That's about a 16%, 17% reduction in inventories. And again, we started that in early January. And we had some success in Q1. When you see our balance sheet, it will show about a $20 million reduction in inventories quarter-over-quarter. So that's another area where we think we can generate working capital and use that cash to go ahead and pay down debt as well. 
Operator: Next question from Liam Burke, B. Riley FBR. 
Liam Burke: Leroy, I apologize, you did mention optimization initiatives that you're going through right now and I just wanted to get a little clarification. The extraordinary events that are going on right now that you're facing, has that changed the trajectory of the optimization plans? Or how has that worked through? 
Leroy M. Ball: Actually, it hasn't really changed anything regarding that, Liam. We've been able to advance the work, the upfront work that needs to be done on the opportunities that we have there. So the fact that we haven't been able to be in the office or on sites on any of the particular sites has not slowed us down in terms of being able to develop the plans and also get the buy-in from the other third parties that we need buy-in from. So I'd say that we continue to make good progress. 
 Like many initiatives, it takes more time than we typically like from the birth of the idea to the beginning of the execution. And if you look at the whole KJCC sale, there's a perfect example of it. I mean, we've been literally working on that for several years now before we got to a point where we came to an agreement that we could move forward with. So these things, they take time because you want to get them right. You got to make sure that whatever you're doing is not going to affect the way that we can serve our markets. And so we're continuing to progress those plans. And I'd say, I've been pleased with the fact that they have not slowed down the meetings, the conversations and the work that behind the scenes has not slowed down since this has begun. 
Liam Burke: Great. And this is independent of the external environment? 
Leroy M. Ball: It is. 
Liam Burke: But you mentioned market share gains in PC. Is there any potential addition there? Or have the markets sort of pretty much locked into the various technologies? 
Leroy M. Ball: Yes. I'd say there's still some opportunity. There's still some opportunity there within the MicroPro product category. There's certainly opportunity there within our industrial treating preservative CCA, right? I mean, with the utility, with pentachlorophenol sunsetting in terms of its usage as a viable preservative in the utility market, there's absolutely opportunity to gain some market share to move some of that business in the Southeast or, I'd say, in the Eastern parts of the U.S. to CCA. And there's even some markets that could possibly move to creosote. So there's still some nice opportunities out there. 
Operator: Our next question is from Chris Shaw, Monness, Crespi. 
Christopher Shaw: Great. You mentioned on the rail side, there was market share opportunities and even in this environment that you're sort of closing it on. Was there any color there? Is that on Class I? 
Leroy M. Ball: Yes. I can't provide any color on that right now. Be happy to provide it when we get to the point where we can talk about it. But I'd just say there's opportunity there. 
Christopher Shaw: Great. And then, again, more on rail, just following up on the -- I think it was the -- one of the questions that I guess the -- looking at the Class I guidance going forward, and you said everything looks -- for most guys, the budget seems the same for this year. But with the last time when they sort of cut back, is that related to less shipments of oil? I mean, I remember they're doing very well at one point with shipping a lot of oil, and that was obviously a heavy load, and then that sort of cut back. Is that something that could happen again, and you could see like a significant less investment in the rail lines next year because of the collapse in oil? 
Leroy M. Ball: So a lot of it had to do with their move towards the precision railroading model. As they're running longer trains, heavier loads, really trying to skinny down their network infrastructure and also cut down their costs. That's when we really, I think, saw the more significant pullback in tie replacements. So they're well into that program at this point. Again, if they're running less traffic, if there's less wear on the lines, yes, I'd say that would be more of a short-term potential cut back than anything longer-term or systemic. 
Christopher Shaw: Got it. And then just a quick one on CM&C. Just looking into the second quarter, is this the sort of -- with the lag in your raw material costs, is it something so quick? And have the prices fallen so quickly that -- could that segment see a loss for the quarter in 2Q? 
Leroy M. Ball: We don't expect that to be the case. 
Operator: Next question is from Austin Nelson, AIG. 
Austin Nelson;AIG;Analyst: I guess I just wanted to get some more color on why you're seeing what you're seeing so far in the RUPS business. I guess I'm just thinking, is it -- should we think about it that because it's just a really long lead time from an order until the ties can actually be placed, but you have orders that were placed last year that are now dried out and ready to be treated in place, and there's just not much the rails can do to delay those? 
 And then I guess just a follow-up, the rails have historically in the Class I's like to kind of speculate on the wood price itself. So are you seeing some customers who might be cutting back now that they're looking at things are reopening, we don't want to miss the bottom in wood, and you're at least getting some inquiries there about getting some orders placed for next year? 
Leroy M. Ball: Yes. So again, we've only really experienced one customer that's indicated desire to pull back and there was no discussion around that being centered on speculation on wood. It had, I think, more to do with just trying to use that as one of their cost levers to be cautious about spending in the current environment. 
 In terms of the demand from the railroads at this point in time, I'd say it has more to do with, again, just trying to maintain the safety and reliability of their lines. We all know we're coming out of this, right, at some point in time. No one knows what the recovery will look like, and there's been plenty of speculation around what shape that will take. But I'd say the railroads overall know that they have a base level of maintenance that they need to do to make sure that they can operate safely and reliably. And especially if they figure that it is coming back, and they don't know or are not quite sure how it's going to come back and how robust and when it's going to be, it would make sense that they would continue to maintain their maintenance programs during this period of time to give themselves the best opportunity to, if and when things really start to come back in any meaningful way, that they're prepared for that. And they're not having to work around. Now all of a sudden, all this additional traffic that's come back online. So that's my best speculation as to why the majority of them have made -- have decided to maintain the programs today. 
Michael Zugay: Yes. Austin, we've been in this business quite a while. And when you go back and look at it historically, in the ups and downs, the railroads historically tend to do more maintenance when the volume on the -- in the freight on their lines is not as busy. Now obviously, the reason for that is when they're busy and they're moving everything across their rail lines, the last thing in the world they want to do is stop that and do some maintenance on some crossties. So historically, again, we have seen that when their freight volumes slow down a little bit, that their maintenance spend under normal circumstances sometimes goes up because they want that all repaired, like Leroy just said, prior to their volumes picking up because when that happens, then they're disrupting their lines. 
Austin Nelson;AIG;Analyst: That's helpful. And then just one more on the PC business. So you mentioned you hedged copper out partially out to '21 and '22 on the drop we've seen here. If you can give us any more color on what percentage of expected business we should think about and the potential margin lift, if we assume a more normal environment like I don't know if your customers know about it or listening to this call and would kind of expect to share in the savings or how we should think about or could '21, '22 actually be much better than we would normally expect? 
Leroy M. Ball: Yes. I can't get into a bunch of detail on that. I'd just say, in general, as our hedges we've in over time, right, as the -- as our average hedge price moves down, you'll see that -- you'll see gains from that reflected in our margins. And we have seen that. We saw it in, I think, the '16, '17 time frame. As copper prices move up and we're hedging at higher levels, then we see that in deterioration in our margins as well, and we've seen that in '18 and '19. And so as the average hedged price starts to move back down, and this year is an example of our average hedge price being lower than '19 for the first time in a couple of years, and right now, our average for '21 is lower than '20, we would expect to see some margin lift as a result of that. 
Operator: Our final question comes from Mike Harrison, Seaport Global Securities. 
Michael Harrison: I know we're past the top of the hour. So maybe just one more related to the CMC segment. I believe you mentioned that you had an inventory write-down during the first quarter. I don't believe that you're excluding that as a special item. So can you help us quantify how much that impacted EBITDA in the quarter? And then on a go-forward basis, does that mean that we get, I guess, the benefit of that written down lower cost inventory? 
Leroy M. Ball: Yes. So I think it was a little over $1 million in terms of the write-down. Yes, you're right. You would get some benefit. You would get that benefit captured in the outer quarters. But at the same time, we've had a continued reduction in oil prices, right? So in the near term, we face the risk of further write-downs before -- it has to bottom out, I guess, before we really see the recapturing of those gains coming out. 
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to President and CEO, Leroy Ball, for any closing remarks. Please go ahead. 
Leroy M. Ball: Thank you. I would just like to thank everybody for taking the time to tune in today. I know it was last minute and late notice, but I really appreciate your interest in the company and your support for all we're doing to work our way through this crisis. And we'd hope that everybody on the line and those that are close to you stay safe and well as we continue to deal with this unprecedented crisis. So we'll look forward to reengaging with you about a month from now. So thank you, everyone. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.